Operator: Good afternoon. My name is Mike and I will be your conference operator today. At this time, I would like to welcome everyone to the Stifel, Nicolaus First Quarter Earnings 2012 Conference Call. [Operator Instructions] Thank you. Mr. Jim Zemlyak, you may begin your conference call. 
James Zemlyak: Thank you, Mike. Good afternoon. I am Jim Zemlyak, CFO of Stifel Financial Corp. I would like to welcome everyone to our conference call today to discuss the first quarter 2012 financial results. Please note that this conference call is being recorded. If you'd like a copy of today's presentation, you may download the slides from our website at www.stifel.com.
 Before we begin today's call, I would like to remind listeners that this presentation may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are not statements of fact or guarantees of performance. They are subject to risks, uncertainties, and other factors that may cause actual future results to differ materially from those discussed in the statements.
 For a discussion of risks and uncertainties in our business, please see the business factors affecting the company and the financial services industry in the company's Annual Report on Form 10-K and MD&A and the results in the company's quarterly reports on 10-Q.
 I will now turn the call over to the Chairman, CEO and President of Stifel Financial Corp. Ron Kruszewski. 
Ronald Kruszewski: Thank you, Jim, and welcome, everyone, to our call. The first quarter of 2012 proved to be our second best quarter in terms of net revenues, net income and diluted earnings per share. The overall improvement in the economy positively impacted both our Global Wealth Management and Institutional Group’s businesses during the quarter, particularly in investment banking and fixed income trading. During the quarter, we continued to expand our retail platform as a result of successful recruiting efforts of financial advisors.
 The increased levels of activity we saw in the quarter can be attributed to strong performance of the equity markets, improving investor sentiment, lower volatility, and increased risk taking as evidenced by improved pricing and performance for new offerings. However, outside of a major event or catalyst to move the markets, we remain cautious on the outlook for the remainder of the year. That said, we continue to believe we are well positioned to gain market share from the dislocation in the marketplace and changing regulatory requirements.
 Turning to Slide 4, this reviews our quarterly results which reflect frankly a good first quarter. As compared to the year ago quarter the 2011 first quarter, net revenues this quarter of a little over $400 million represented a 9% increase. Our GAAP net income was $34.8 million or $0.55 per diluted share compared to GAAP net income of $31.4 million or $0.50 a diluted share last year. Our pre-tax margins were 15% compared with 14%.
 Looking sequentially or versus the fourth quarter of 2011, our net revenues were up 12%. Our GAAP net income increased 29%. Our operating margins increased 200 basis points from 13 to 15. Our effective income tax rate for the quarter was 41% compared to 38% in the year ago quarter and really 40% for the fourth quarter.
 I just want to point out that if you’ve used the normalized tax rate of 40%, the difference in tax rate accounted for $0.02 per share or said another way, our EPS would have been $0.57. The change in our effective tax rate this quarter was due to an increase in our state tax rate and more so by losses incurred at a lower tax rate in foreign jurisdictions. So net-net it’s not our normalized tax rate, what we had in the first quarter, I would more look at 40%.
 Also last year in the first quarter we had a reduction in our deferred tax valuation allowance which then effectively lowered our tax rate. Our results exceeded expectations by a penny. Net revenues were 5% higher mainly attributable to upside in principal transaction investment banking. Our total non-interest expenses were 4% higher as the result of an increase in compensation expense on higher revenues and an increase in non-comp expenses.
 The next slide compares really our sources of revenues, comparing year-over-year results. Commission revenue decreased 21% to $123 million from $155 million. This is attributable to lower volume primarily in our institutional business. I think our results were consistent with the overall decline in market volume. Principal transaction revenues were up 25% from the year ago quarter due to an increase really in the fixed income business, and I will come back to that.
 Investment banking revenues were a bright spot in the quarter. They were up 70% to $70.4 million from $41.4 million. The year-over-year increase was in both capital raising and advisory fees. Asset management service fees were up a little over 5% to $60.8 million. This increase was due to an increase in revenue generated from fee-based accounts which increased both in asset value and in the number of accounts.
 Turning to our brokerage revenue, commissions and principal transactions decreased 4% from last year and increased 10% sequentially. On a year-over-year basis, all categories that comprised principal transactions increased. Taxable debt was up nearly 20%. Muni debt was up almost 12%. Those increases were attributable to increased flow in our fixed income business and the muni debt category was positively impacted by contributions from Stone & Youngberg.
 Overall while the equity markets are challenged from a volume perspective, we continue to believe that our research-driven model is not a commodity, something that we believe does add value, and we believe we are gaining market share.
 The next slide reviews our non-interest expenses. Comp and benefits as a percentage of net revenues was 63.6% for the first quarter compared to 63.1% in the year ago quarter and 64.1% in the fourth quarter of ’11. The increase was primarily the result of the expensing of retirement eligible deferred comp which we were required to do and that impacted our comp ratio by about 0.9%.
 So if you just want to look at that as if something that happened in the quarter, if you took that out, our comp ratio would have been in line at about 62.7%. We give a targeted range of about 62% to 64% and we are within that range.
 Transition pay which primarily consists of the amortization of the upfront notes, signing bonuses and retention awards, was consistent for quarter over quarter at about 5% of revenue. Non-comp operating expenses were $86.4 million, 2% over the first quarter ’11. As a percentage of net revenues, they were at 21.6% compared to 23%. This increase was primarily a result of an increase in commissions and floor brokerage charges, as a result of costs, really the folks who are converting customer accounts to a new platform that we had to do -- what we do with our trading system, as well as an increase in occupancy, the more offices that we open and the resulting costs. Looking forward, we expect non-comp expenses to be in a targeted range of $85 million to $87 million per quarter.
 I will turn to our segment comparison. Overall results for the quarter in both our global wealth management and institutional group improved year -over-year and sequentially as aided by rising equity markets and increased activity. The revenue mix was 62% from global wealth management and 37% from institutional group. I have said, I thought that the target in there is more like 60:40. Excluding the other segment, our global wealth management contributed 74% of our process while institutional group’s contribution of 26%.
 The next slide details global wealth management results. Compared to the first quarter of ’11, this segment generated pre-tax operating income of $69.2 million which was up 12.5%. Net revenues for the quarter were a record $248.3 million which was up 4%. This was primarily due to an increase in net interest revenues as a result of the growth of net interest earning assets at our bank and an increase in really, in sales credits resulting from our investment banking. We did a fair amount of deals in the quarter.
 Sequentially, pre-tax operating income was up 10%. Net revenues were up 11%. And our fee-based assets increased 7% to $18.6 billion. This was driven by higher asset levels and a 3% increase in new accounts. I am pleased that for April the activity continued, and for April although I will say that May does have a tinge of slowness to it.
 Looking at the bank, Stifel Bank reported, what’s I think solid revenues of $16 million, up 80% compared to the first quarter of ’11. This increase was due to a 46% increase in assets and an increase in mortgage fees due to an increase in our loan originations. Interest expense decreased 4% primarily as a result of lower yields that we are just paying for deposits in this interest rate environment. The growth in our bank has primarily been driven by growth in deposits associated with the brokerage Stifel Nicolaus. As of March, at the end of the quarter, the balance of customer deposits in the bank were $2.3 billion compared to $1.6 billion a year ago. Sequentially, though net revenues declined 17% mainly due to a decline in other income and it really was that we had some gain on sale in the fourth quarter of last year.
 If you look at asset quality on the next slide, asset quality remains high with non-performing loans, really a 0.32%, non-performing assets up 0.11%, and we’ve had less than $100,000 in losses over the last 12 months. Our interest earning assets were $2.5 billion at the end of the quarter. That’s up 14% from the end of the year. Our investment portfolio stands at $1.7 billion, it’s up 19% from the end of the year, and still it’s a 99% comprised of investment grade securities of which -- of those 67% are government sponsored enterprise, MBS or AAA rated investments.
 Our loan portfolio was up 5% to little over $800 million and our strategy at the bank remains the same to prudently grow the bank’s assets on a risk adjusted basis.
 Next slide looks at our institutional group results. Year-over-year comparison marked an improvement which is again a result of the more favorable environment. Pre-tax operating income of $23.7 million, up nearly 11%. Net revenues were $148.5 million, up nearly 17%. Sequentially revenues were up 10.6%, that again it was a more challenged fourth quarter and the activity was better. Overall sequentially our profitability increased 120%. I will say that looking at this business, the improvement in markets and more flow across the board will help. We target 25% contribution margins from our segments. And our institutional group, as you can see, is at 16% and it’s -- and we have achieved 25% in the past. So this does leave room for improvement.
 If you look at our revenues in the institutional side, our brokerage revenues were nearly $90 million but that was down slightly 1.4% from the first quarter ’11. On the equity side, brokerage revenues were $44.2 million which was down 15.7% compared to a year ago quarter. And again, it’s the decline in overall volume on the equity side. Of course offsetting this decline for us are fixed income brokerage revenues of $45.3 million, that was up 18% compared to the first quarter of ’11.
 Investment banking I said was a bright spot and increased 65%. This is within our institutional group, increased 65% to $58 million. Capital raising revenues were $42.4 million, up 62% while advisory fee revenues were nearly $16 million, up 70% compared to the year ago quarter.
 I will now provide some additional color on our investment banking results. We experienced a pickup in equity capital markets activity mainly new issues and follow-ons, which as I said was attributable to rising equity markets and valuation. Our focus on improving our deal economics has contributed to the increase in book managed deals which were 30% from our deals completed year to date which was about 25% in 2011. And this improvement is tangible on that. In the first quarter we completed 5 equity capital markets transactions with fees greater than $2 million.
 The most active sectors in the quarter were technology, energy and healthcare. April’s activity was solid and issues are cautiously optimistic looking forward. I am pleased to report in April we achieved a significant milestone for our firm where we acted as an exclusive financial advisor to Viasystems and their pending acquisition of DDI. But we also provided then to participate in a bridge financing and acted as the joint book manager in their high yield offering to take over bridge. That’s a significant milestone in the way we are building this firm.
 While the global M&A environment remains challenging and dollar climb over down over 35% from the same period last year. We remain active. In the first quarter we had 16 announced and/or closed M&A deals, including 4 buy-side and 12 sell-side. In addition, we’ve announced or closed 6 M&A deals in April, including 3 buy-side and 3 sell-side for a total of 22 year to date.
 Our equity and M&A backlog is strong. We continue to execute in our pipeline of rebuild and rebuild our pipeline which is encouraging. Now volatility is trending higher and like I said I am cautious about the outlook as I look forward from today. But with our decent market we have a nice pipeline to execute against.
 Slide 15 lays out our capital structure and that refers 2012 total assets of $5.5 billion. Our capitalization including debt was $1.6 billion, that’s $1.3 billion of equity and about $358 million of debt. Book value 25.07%e, tier 1 capital was $934 million which is 25% to 27% of risk weighed assets. During the quarter, we floated $175 million, 6.7% senior notes due in 2022. As a result of that our debt to equity increased to 19% from 6.3% at the end of the year. Our leverage ratio calculated by total assets by divided by total capitalization was 3.4% and maybe another way to look at leverage is it’s starting equity capitalization to total assets was 4.1%. So we still have certainly a relative unlevered business balance sheet.
 Turning to other financial data, as I said we have a strong balance sheet, we continue to manage our business utilizing a low leverage model. At the end of the quarter, the leverage ratio at the parent and the broker dealer was 2x while at the bank it was 13x, which as I have told you on past calls is that when we increase the leverage in the institution, it’s primarily going to be done in the bank and with the funding at the bank level but not at the broker dealer.
 In the quarter we added a net 26 financial advisors and we opened 6 new offices. Recruiting remains active and we’re going to continue to build that business. Total assets, clients assets under administration increased to a little over to $127 billion which was up 6.6% from the end of the year to reflect both net inflow and market appreciation
 Final slide look at our level 3 assets. As in past quarters and majority of our level 3 assets are auction rate securities with a carrying value of $173 million. But of that $65 million is held at Stifel bank and our investment portfolio. The other investments consist primarily of private investments held by the former TWPG subsidiary, about $30 million.
 Looking forward, what I see is a continued ability to grow our global wealth management business. The private client investor remains active, we see the recruiting, picking up and being very positive. The bank will continue to grow as I said in the past, you will see the same measured growth in the bank, the yield curve is certainly favorable for us, building the bank we’re seeing good loan demand in the bank, and that’s encouraging, I see a lot of opportunities for growth at fixed income, and we are seeing lot of opportunity to build our fixed income business. Investment banking, we’ve made a lot of progress in our pipeline, that’s good. That’s encouraging.
 If my cautionary light that’s flashing for me is still on the equity markets and really the lack of flows into equity funds, I think this market to get healthy, we will require that investors start allocating more funds into equity. As I see it flow of funds in our firm, if they leave the money markets they tend to go into yielding investment, bonds and longer dated instruments not on the equity. And that was the concern which I think evidenced by the rather traffic volume in the equity markets.
 We’ve had a very good start to the year given the recent weakness, weakness, economic data, the flow rate of growth in the country and there continues almost drumbeat of headlines out of Europe. We are cautious but we remain well positioned to take advantage opportunity and gain market share.
 So with that, operator, I will take questions. 
Operator: [Operator Instructions] Your first question comes from the line of Patrick Davitt from Bank of America Merrill Lynch. 
M. Patrick Davitt: You mentioned the high yield deal in April which is great obviously. Do you feel like you’re starting to see a lot more trend traction in terms of being involved in the entire cycle of a transaction like that given that it was the first time you have done it, or is there not much of a pipeline of that? 
Ronald Kruszewski: Well actually it’s not – it’s not the first time we’ve done it. We had similar deals to that in the past. I think, I just pointed out, because it speaks to the progress we made in building the investment bank. And for us that deal in particular where we were the sole exclusive advisor on the buy side and we were able to, while not being a universal bank, was able to be involved in all aspects of that transaction, the advice, the bridge and the take out. And so do I think that we are going to do more? I certainly hope so. 
M. Patrick Davitt: In the institutional business, you had a pretty strong revenue quarter but still year-over-year at least the lack of compensation leverage, do you still have a number of producers in there that really haven’t ramped up, or is there something else going on that is making you accrue so much so early in the year? 
Ronald Kruszewski: I think we tend to try to be a little more conservative in the way we built our accruals and historically that’s how we look at it. I mean we are obviously -- we are doing our level best to estimate comp levels. But that said, we have a model that is built for rebound in the equity markets. And while we saw it, putting in investment banking, the equity volumes are lull. And so we are -- net-net, we’ve also made some investments. So there is the compensation, transition expenses in those equity numbers. But I am comfortable with where we are, Patrick. I do -- I watch our contribution margins and our contribution margins in our fixed income business are strong. And they are weaker in the equity businesses. I think that’s across the street. We’re not -- and we are continuing to build to gain market share. 
M. Patrick Davitt: So it’s really about just getting to a more active environment and that should naturally come down? 
Ronald Kruszewski: Yes. 
M. Patrick Davitt: And then on the hiring side, you mentioned that you are seeing pickup there. Can you talk about where you are seeing I guess most of the people coming your way, they are wire houses, regional’s and to the extent that there is a lot of upfront money required to get them, I know you never play that game. But do you feel like the wire houses have stopped playing it? 
Ronald Kruszewski: No, I don’t, in terms of that, I think that we have -- just on balance, have seen a lot more interest in our company across the board. And so we are seeing it -- like I mentioned from the last call, that we are seeing a lot of activity and it’s encouraging. 
Operator: Your next question comes from the line of Joel Jeffrey from KBW. 
Joel Jeffrey: So in terms of the -- given what’s going on in the markets I understand sort of a cautious outlook, in particular in the equity side of the business. But is there anything near term you see it in your other businesses that has given you the reason that to be more cautious than maybe you were end of last quarter. 
Ronald Kruszewski: No, I actually -- the overall -- what concerns me, what makes me positive, I will give you both. What concerns me is that I don’t want 2012 to turn into 2011. We had start of the year rather with --optimistically and then went into the Europe, downgrade of the U.S., blah blah and ended the year weakly. We started off very strong this year, now you are hearing these rumblings out of Europe. These are the things that are out of our control. That has been mostly impacted in the equity side of our business. The fixed income and the bank and just the private client brokerage business absent some real upheaval, I am optimistic about both the remainder -- certainly or the rise that I can see. So there’s not a lot that we can do about the overall global economic environment. 
Joel Jeffrey: So sort of thinking about the fixed income market in the near term, I mean first quarter we had 3 high trades volumes and spreads only contracted. Is that a sustainable sort of number in the near term or should there be sort of a pullback in your opinion in the next couple of quarters? 
Ronald Kruszewski: A lot of people are concerned about fixed income in saying that what’s going to happen, when rates start to rise or whatever. I would say that fixed income volumes are substantially primarily because the average duration, I believe, the average duration for a lot of this portfolio is pretty short. And there is a lot of activity moving around in these portfolios. Certainly looking around our own bank, and look at the average duration, I think if that’s going on elsewhere I can see why volumes are okay. Look, they’re going to fluctuate the trade volumes and credit spreads going to do what they are going to do. But I think fixed income certainly is down from 2009 levels. But I think it’s a sustainable level at this point. 
Joel Jeffrey: In terms of thinking about sort of 26 advisors you added this quarter, is that impacted in any way by some seasonality or the sort of how you see a potentially consistent run rate of new advisors being added throughout the year? 
Ronald Kruszewski: Well, seasonality because for us when we have seasonal departures, they occur in the first quarter and have to do with year-end reviews, et cetera. So most of our departures occur in the first quarter. So a net 26, I would hope would be -- the run rate would be higher. 
Joel Jeffrey: And then just lastly, looks like other revenue was up a little bit more than we were modeling and from the prior quarter, what was driving that? 
Ronald Kruszewski: How about I say, I don’t know but I will try to answer before I get off the call. 
Operator: Your next question comes from the line of Devin Ryan from Sandler O'Neill. 
Devin Ryan: Just a couple of follow ups for me here. So first on the day trading obviously, you had a real nice rebound in taxable day trading. But I was a little surprised to see the 15% decline in muni, brokerage revenues from what was a tough quarter last quarter especially with Stone & Youngberg being on your platform a little bit longer this quarter. So just love to get some color there and follow up on that business going forward? 
Ronald Kruszewski: I think most of that decline, they don’t have it by group. I know that the activity in munis in the private client group was significantly lower. Okay, and so you’ve got to be care to remember, we are reporting these numbers across the board, and Stone & Youngberg has been a fantastic addition across many facets on the institutional side. But you’ve got to look at also as what’s going on in the private client group. 
Devin Ryan: And then also just on the comp level, you mentioned the expensing of retirement eligible deferred comp, and how that negatively impacted the comp ratio in the quarter. Is that just a first quarter event or is that something that’s going to recur going forward in additional further quarters I guess? 
Ronald Kruszewski: That was the first quarter event. 
Devin Ryan: Okay, so don’t expect that -- I mean is that always a first quarter event? 
Ronald Kruszewski: When it occurs, it occurs in the first quarter, because that’s when we are finally allocating bonuses and determining -- it’s a first quarter event when it happens. 
Operator: Your next question comes from the line of Chris Harris from Wells Fargo. 
Christopher Harris: So it sounds like you’re a little bit cautious as you remarked, but nothing terribly bearish. But I’m just kind of curious to get your sense of where kind of volumes have to go or how much does the business potentially needs to decline before we start looking at maybe doing something on the expense side of the ledger? It seems like you are wanting to continue to pull expenses where they are, keep headcount where they are, I am just wondering if things decline a lot further than you’re expecting, what are your thoughts there? 
Ronald Kruszewski: Look, first of all, I am striking somewhat of a cautious tone. Look at the markets the last week and I remember last year and I remember pipelines drying up because of increased volatility in choppy markets. But let’s not lose sight of the fact, we just had our second best quarter ever, $400 million of revenue, 15% margin across the board. We raised additional capital. I mean it’s not like we are struggling. We are having -- we had a very acceptable quarter and really didn’t fire on all engines that we can do in this firm. So I am cautious about the overall market but I am not concerned about the performance of this company. I think this company on a relative basis is performing fantastically. Am I thinking about -- am I worried about cutting expenses or worrying about headcount? No, I am worried about gaining in market share. So I am cautious about the market that we operate in, I am not really concerned about our positioning. 
Christopher Harris: What do you think it’s going to take to get really equity volumes going again? I mean we’ve obviously seen a huge recovery in the market but really just people seem very disengaged. I'd love your opinion or some color there on what you think is, it’s where you’re going to get the fund flows getting positive or transaction volumes kind of increasing from here? 
Ronald Kruszewski: Well, couple things, one is I think you have to -- we all have to recognize that the volumes that occurred post the crisis were way above the mean. And so reversion to the mean is kind of what we are doing to where we are. I would hope that the level of activity is higher than what we are now but to get back to the volumes, and the volumes when Citigroup was trading like water, it was crazy, those volumes. We're not going to -- I don’t think that we’re going to get back to that. So that’s the first thing. So is it -- from these levels, I would like to think we are higher but we are not going to -- I don’t think we are going back to the 12 -- those days any time soon. But what I do think for the health of the equity market is we need to see flow of funds into equity, and not into -- we just don’t see net flows into equity that I think would be the foundation of a bull market. What it will take to do that is, it’s the confidence, it’s difficult policy getting arms around the budget all the things that concern people, the guys on CNBC not talking about end of the world, it seems like every other minute. Those kind of sentiment changes, so we will see, it’s an election year, and hope springs eternal. 
Christopher Harris: And then switching gears, I guess a follow up here on the bank, I don’t think anybody could take issue with how well you guys have run the bank, I mean really very good performance there. But just wondering why loan growth hasn’t been a little bit stronger that has -- I mean I got it that you guys want to be kind of conservative growing the bank but it seems like you just have a tremendous opportunity to kind of increase the loan capacity there. So just wondering what you think about loan growth from here? 
Ronald Kruszewski: I think we have a ability and continued ability to grow the loan book. We are being prudent, we are growing on a prudent basis. The loan growth could be a lot faster if I didn’t think it would outstrip how we are building the bank. I have always said that banks that get into trouble are banks that grow too fast. And so we are just taking a prudent approach. There is a lot of loan demand and there are a lot of loans that we don’t do, and some of the best loans we made are the ones we haven’t made. So I don’t really have a comment on that. I am not disappointed at all about what’s going on in our bank. 
Operator: There are no further questions at this time. I will turn the call back over to Mr. Ron Kruszewski. 
Ronald Kruszewski: Very good, operator. Well everyone on the call, thank you. I again want to conclude by saying that it was a very, very good quarter. Run rate revenues of $1.6 billion, acceptable margin and I see real opportunity to build our franchise while I am cautious about the macro-economic environment with which we are operating today. With that I look forward to talking to everyone next quarter. Bye. 
Operator: This concludes today’s conference call. You may now disconnect.